Operator: Ladies and gentlemen, thank you very much for waiting. We would like to begin the briefing on Earnings Results for the Nine Months Ended December 31, 2021 of SoftBank Corporation. I would like to introduce to you the presenter for today. SoftBank Corporation, President and CEO, Junichi Miyakawa; Board Director, Executive Vice President and CFO, Kazuhiko Fujihara. Today's briefing is streamed live on the Internet. Without further ado, we will have Mr. Miyakawa talk about the consolidated results for SoftBank Corporation as well as the business overview.
Junichi Miyakawa: My name is Miyakawa from SoftBank Corporation. Thank you very much for coming. I see many faces here. I would like to begin the explanation of the consolidated results of the Q3 of fiscal year 2021. First is revenue -- there was an increase by JPY360 billion, up 10% and the LINE was made into a subsidiary and that positively impacted us. In terms of revenue by segment, all businesses had seen increase in the revenue. As for the distribution, because of the special demand from last year and also due to the shortage of the semiconductor regrettably, there was a decrease in the revenue. As for operating income, there was a decrease by JPY20 billion, down 2%. If we look segment by segment, enterprises. -- had increased by 13%. Yahoo! and LINE, 24% growth. There was a steady growth from these segments. On the other hand, consumer has seen a 10% decrease in operating income. If we look quarter by quarter, in the third quarter, it was negative JPY1.6 billion which was a 0.6% decline. In the second quarter, there was a decline of JPY21.9 billion, meaning that the profit decline had narrowed in third quarter compared to the second quarter. In terms of net income, it was down 3%. There was an impact from the Demae-can impairment and we booked JPY4.1 billion of impairment for the Demae-can. This is the consolidated results of up to the third quarter. This is the progress towards the fiscal year '21 full year forecast. Operating income and net income, we were able to exceed 80% progress for both. This is the progress to our forecast by segment. All segments had seen progress of more than 80%. In terms of the results for the third quarter, it is as I have explained. Going forward, I would like to talk about the full year forecast. As for the revenue, we are considering that there would be an upward movement. And as for the operating income, we believe that we would be able to achieve the historical high income as well. So we are seeing the light towards the full year forecast. So now we are making plans for the midterm strategy. So let us look at by each business segments. So let me start with the Consumer business segment. Revenue for Consumer segment, due to the increase of mobile device sales of plus JPY60 billion or so, we have been able to have increase in revenue but we also have negative impact to mobile service price reductions and we have a minus of roughly JPY490 billion until Q3. So mobile service price reduction in mobile segment was decreasing revenue. And operating income is positive of JPY520 billion. Like I said, the price reduction impact is about JPY49 billion. And we thought initially on a full year basis was slightly above JPY70 billion. So it's within that projection that we have made earlier. And if you look at the smartphone cumulative subscribers, this is 1.5 million year-on-year increase. Y!mobile we had increase in migration from competitors. This is the driver for the increasing number of subscribers. And if you look at net additions, we were quite concerned that the growth is slowing down but you can see that by each quarter, it has recovered. And starting from this year, calendar year, we have seen a steady increase in net additions and we expect this trend to continue. So I think we're finally starting to see the good characteristic of SoftBank. So you can see that while the environment continues to change, differentiation becomes increasingly important and that's an important hint for us. And for us, I said that we wanted to exercise group synergy as part of mobile strategy. We have Yahoo!, LINE, PayPay, these services to have this within our group, this is a strength that no others have. And by combining the services that the group has, we will be able to differentiate the mobile service and we will be able to have many other customers, many more customers choose us. And by connecting with our mobile service, the services offered by the group companies, that in itself will grow as well, so we can accelerate promote growth of various group services. In this Q3, as you can see, group service and mobile services, its collaboration has been strengthened and we have been trying to promote synergies. So starting from Coupon to Music to card that we have engaged in different -- rolled out different services. And as a result, through collaboration with mobile service, you can see that each of these services have grown quite rapidly. Since collaboration in just a short period of time, we have been able to increase quite rapidly like this. We have more than three hiring companies within our group. So going forward, we will continue one after another to increase collaborations like this. In addition to the growth of the group service, we have seen a nice impact on our mobile service business as well. Yahoo! and PayPay users who are using multiple services -- group services. If you look at the churn rate, it's only half of those who are not using any of the group services. So with LINEMO, we will increase collaboration and we will be able to further reduce the churn rate. Next is Enterprise business. Revenue increased by 4% on an overall basis. And Business Solutions and others, this segment is extremely strong with plus 12% in revenue increase. Operating income has gone up by 13%. From the first quarter presentation, we have separated the continuous revenue and the non-continuous revenue. The continuous revenue had gone up 22%. Recurring revenue has gone up 22%. It is growing steadily. The driver of growth for solution is digital marketing. On a year-on-year basis, it has doubled at 210%. Treasure Data, Yahoo! LINE have been utilized in this service. Data collection, integration, utilization were supported consistently. And this is a strength that others do not have, we expect growth from this area. Another point is security. As you can see, on a year-on-year basis, it grew 142%. We hear the term Zero Trust often with Zero Trust as an assumption, various security measures are taken, including the other monitoring, et cetera. We provide comprehensive services. Now, I would like to move on to talk about Yahoo! LINE business. Yesterday, there was the results announcement for Z Holdings. In terms of the revenue, it grew 33%. The media business centering around line grew steadily. In terms of operating profit, it was up 24%. With regards to e-commerce, last year, there was a special demand due to COVID and we were able to grow significantly. This year, we were able to further grow. The EC transaction value was up 12%. Next, I would like to move on to talk about PayPay. The number of registered users is shown on this slide, it is steadily growing. There are 45 million users. This means that more than one in two users of smartphones are using PayPay, this is number of payments by PayPay. I have been repeatedly been saying this towards the Super app -- this number of payments is the most important KPI. So how we would be able to grow the number of payments is something that we care very much about. If we look at the cumulative on first quarter to third quarter is 2.63 billion times. It was up 85% year-on-year. So it is growing significantly. And if you look at GMV on a cumulative basis, it's JPY3.9 trillion. Year-on-year, this is an increase of 73%. If you look at GMV on a quarterly basis if you look at Q3 alone, GMV was JPY1.5 trillion. This was up 82% year-on-year. From last October 2021, we started charging small and medium merchants. And since then, GMV continues to grow steadily and Q3 GMV was record high. And with an addition to increasing GMV, with the charging of the merchants, Q3 revenue increased by 2.7x year-on-year. In this quarter, gross margin has come to the level where it can cover fixed cost. So if we can control acquisition cost, then we will begin to see breakeven in horizon. This is PayPay Atobarai deferred payment which we started from February 1. You can pay your current month bill in a lump sum, the following month, we call this deferred payment. So you don't have to worry about your balance. So this should improve the number of payments per person and also average amount per payment. So we believe that this will allow us to accelerate growth and expansion. Finally but not in the least, ESG. For the first time, we issued an ESG bond and raised JPY30 billion in the world called HAPS we would like to resolve the digital divide around the globe with this business. And this equipment has already been developed and it's a program where we are in the process of developing and we want to accelerate the R&D for the program to run this machine. And that's why we have raised this fund. So that's where the proceeds will be used. And our ESG initiatives have been appraised and evaluated quite highly. In November 2021, we received Social Value Award at Nikkei SDG's Management awards and we have been selected for inclusion in a number of global ESG investment indices. So we will continue to promote ESG initiatives. So in summary, there's four points I want to highlight with result to the Q3, we have been able to see a significant recovery in mobile service net additions. And also in non-telecommunication area, we have seen a nice steady growth of LINE in PayPay. And with the collaboration strengthened, we have been and we will continue to increase our corporate value. So thank you very much for your kind attention. I would like to take questions from the floor. Thank you.
Operator: We would like to move on to the Q&A session. We will be taking questions from the venue as well as online. Those of you who would like to ask questions on line, please access the Zoom according to the methodology that we have given you beforehand. You would be able to see everything on Zoom, so in order to prevent the echo, please turn off your website live streaming. Please wait until the preparation is made. We would like to move on to the question-and-answer session. We would like to take the questions from the venue first and then from the media on Zoom and also analysts and investors on Zoom after media. [Operator Instructions] From the venue on the left-hand row, in the very front line.
Unidentified Analyst: My name is Ichikawa from Yomiuri Shimbun [ph] newspaper. There are questions I would like to ask you. First is on 5G. There would be increase in the IoT devices. And also, there would be many contents to arise. At this point, in being profitable, how much growth are you considering at this point for your company?
Junichi Miyakawa: Thank you for your question -- with regards to profit generated from 5G. At this point, the smartphone from 4G and LTE and also smartphone for 5G are coexisting. And 4G and 5G, it can be used from those devices, it's non-stand-alone. So there is not much difference in the smartphone services in which the users receive. The 5G communication speed is slightly higher, so the traffic is increasing slightly but it is not so surprising. As Ichikawa san has mentioned, going forward, there will be an increase in the IoT devices like AR and VR goggles. We have high expectations for those devices and we would like to connect ourselves towards Metaverse world. At this point, we do not have killer contents or the killer app. Currently, we are working on the building of the network. And when those network is completed, we have started the stand-alone services and other carriers will be starting the stand-alone services. When that is prevalent? This means that there would be an easier environment for creating a 5G specific services for the devices. So it would take a little more time until we get there.
Unidentified Analyst: I would like to ask my second question also regarding 5G. In MNO, the fourth player, Rakuten is now expanding 4G and also they are trying to develop their 5G network. So they are a latecomer and because of that, they are able to flexibly develop their base stations for 5G. In penetration of the 5G, I think that the competitive environment is a bit different when the three major carriers have had first entered this market. So now there are four MNOs from three MNOs. And I would like to know how you see the change in the competitive environment.
Junichi Miyakawa: Thank you for your question. So if we look at the smartphone communication between people, there's not much difference between 4G and 5G. The network stability, connectivity. When it's better, that carrier will be selected more. So the 4G infrastructure covers 99.9% of the population in Japan. In order to get there for 5G, I believe that it would take some more time. Also that is the uniqueness of frequency of 5G. In order to get to the critical mass and get a bigger area, we would take more time. And I think that the market will mature as the network is built and when the 5G expands and when people start realizing that the -- there is a difference in the latency according to the carriers, I think that there would be differentiation. But at this point, there is not much difference in 4G and 5G. In terms of the pricing, when there is a transfer from 4G to 5G, the price had come down. So when we try to create a new infrastructure for 5G, there would be bigger burden on the carrier side. I think that there would be a variety of strategy from various carriers. And in two to three years' time, I think that there would be uniqueness standing out according to carriers. And I think that there will be differentiation in the services when the time comes.
Operator: Any other question? Then the gentleman in great jacket in the middle section.
Unidentified Analyst: This is Ishino for freelance journalist. Two questions, please. First question. So you said net additions of mobile is quite steady, especially driven Y!mobile. Can you please give me the reason? And how were others other than Y!mobile? And my second question, similar question but in terms of increasing revenue, you mentioned devices. What sold well, why? So if you could elaborate on that?
Junichi Miyakawa: Thank you very much for your question. So the steadiness of Y!mobile -- Y!mobile in terms of prices, we start from JPY900 per month. So it's low price service and commercials are quite good and we're seeing increase in traffic. So the attractiveness of Y!mobile itself even in comparison with peers, I think really is equivalent or even better. And with regards to Y!mobile, if it tends to be a chosen service in terms of NMP if you think about just in pricing, it should be LINEMO but as a low-price service, we have two pillars: Y!mobile and LINE MOBILE but we have an environment where it's easier to focus on Y!mobile. And this is because we have SoftBank shop and Y!mobile shops and where the two are jointly located, many customers subscribe in consultation with the shop staff. So we have a nice environment for that. And also if you look at other brands, I was just about to talk about LINE MOBILE or LINEMO but it's not so much LINEMO but it's really explosive growth of Y!mobile. LINEMO is actually increasing gradually on net additions basis but Y!mobile really has grown in terms of net additions. And as for SoftBank brand we have had a lot of outflows because of NMP to lower-priced brands but this has finally stopped, the outflow has stopped. And of course, we have users shifting from SoftBank to Y!mobile -- but this is all in the same pool. So maybe we can allow this. So it's not really a negative for SoftBank. So the fact that SoftBank has stopped falling in terms of the outflows. And also because of a nice increase in Y!mobile, we have seen an overall improvement in net additions. And I think your second question was on device sales. So device revenue I think I mentioned that it was on a year-on-year basis. But if you compare with two years ago, how was it -- we have seen recovery in sales of device because last year, because of COVID-19, we had to reduce the business hours at the shop. So we were in a very restricted sales environment. So that is why we are not able to sell as much devices. But this year, we're now starting to see increase in sales devices. So that is why we have seen increase in revenue here. So is there any specific device that really took off? No, we haven't really seen any trend like that. In particular, iPhone, for example, my understanding is that the generation before was actually selling better -- so this is really only in comparison with how we did in the previous year. So, thank you.
Operator: Any other questions? On the right-hand side in the white jacket.
Unidentified Analyst: This is Suzuki [ph], a freelance. I would like to ask about PayPay. The charging -- the transaction fee to the SMEs improved the profitability. However, you still have some way to go for turning into the black ink. So I was wondering how the financial business will be doing and how that would be contributing to your path to profitability in PayPay?
Junichi Miyakawa: PayPay is a separate company and I would like to explain according to our understanding. First of all, PayPay has fee business. And with that, there was a breakeven in the fixed cost. And from October, there was improvement in the profitability and in December, we are seeing very good figures. If the acquisition cost is spent even more if we are to -- I think there is a question about whether we would continue expenditure. And at this point, we believe that PayPay is a business that would go beyond the JPY45 million that we are seeing now. And as long as we feel that there is a growth, we would like to spend on the acquisition cost and we would like to enjoy the growth of PayPay. And as for the financial business, if we look under the holdings, there is PayPay, LINE and the trade area overlaps and also there are some financial institutions involved and it's becoming more complex. And we are trying to sort things out so that the ideal state can be derived. In any case, PayPay is aiming to become a super app so that it can become this core business of various services. So we would like to horizontally connect various services to the PayPay Bank, so also that would be the financial business, connecting various areas of PayPay, we have PayPay insurance, PayPay card. Within our planning, we have many ideas in place. So centering around PayPay, we would like to generate synergy and we would like to accelerate significantly of PayPay's growth through this. So there are companies within SoftBank KK and also companies which is under the umbrella of Z Holdings but in any case, we would like to implement group strategy in order to grow in the most optimal way.
Operator: Due to time constraint, I think we would like to take one more person from the venue here. So then we would like to invite the woman in the third row from the front.
Unidentified Analyst: Thank you Sugiyama [ph] from Asahi newspaper. Thank you very much for this opportunity. So it's related to the first question on 5G. So we are now seeing increasing number of coin infection cases but you must have targeted for 5G rollout. Have you seen any impact because of COVID infection increase? And the second question, earlier, you said that while the service price is falling but you need to continue to invest in infrastructure. So maybe after five or six years, if it continues to decline, maybe there's difference in each of the carriers. So -- and different color characteristics to it. So could you please provide me with your picture of how SoftBank will look in five or six years. What is your color?
Junichi Miyakawa: So with regards to base stations, I was going to do a press release tomorrow but I can give you a sneak peek. Well it's 85% in coverage ratio and we have 23,000 base stations and maybe you can check the press release for the numbers. But in spring we would raise the coverage to 90%. So we're accelerating our process to do that. So what we're increasing in terms of area is in 4G and 5G, I think you often hear about connectivity and poor connectivity. But you really need to increase the area of 5G. Otherwise, if it goes back and forth between 4G and 5G, sometimes there's connectivity of a problem. So we need to increase the volume, the area coverage area for 5G. So this is what we will need to do this year and next year. So we will be very relentless on this effort. And then the second question on your mid- to long-term strategy, how we look at 5G going forward. So during the ages of 3G and 4G, telephone was the primary infrastructure. So -- it was fatal if you were not able to connect by phone. So if it's 3G, it was really about last mile, how do you connect it to the home and underground. So that's how 3G infrastructure was built, that's where the focus was. But these days, we have WiFi 6 and you will see WiFi 7 is a new standard that you will begin to see later on. And WiFi is a very good mechanism with 5G well, you pay the carrier for the mobile service. And right now, you're able to actually see movies with the WiFi at home. What's different is, if 5G becomes stand-alone and if the core system becomes 5G-dedicated system, then there'll be many things that you'll be able to do. So once we enter that age, then the way security is built or the tunneling technology for customers and services, these are all specific potentials that we have with 5G stand-alone. Then when that comes in place, then WiFi and 5G would have completely different roles. But if you look at the next few years, you have this enormous traffic indoor. Do you want to have a uploading WiFi or on 5G? I think there's different strategy. So the services we want to roll out, what is the services that we want to build. We are currently in the midst of the discussion about this. And also if 5G remains with the current ARPU, in other words, if it continues to remain at the low level price level, then Japan alone, if we continue to just pursue after infrastructure like in the ages of 4, then it will be quite inefficient. And we will not really see a lot of new technologies coming into Japan. So there's a risk of that as well. So we have to look at the balance. So what is the appropriate margin to build 5G like this? These are the things we have to discuss from scratch. And we're discussing this with maybe a 10-year span. So if you wanted to do telecom in 10 years or 10 years later, what sort of investments plan do we want to have? It's not really about how we used to do, we have to look at profitability and look at what we want to do after 10 years. So that's what we're trying to do in our mid- to long-term strategy.
Unidentified Analyst: Thank you very much.
Operator: So that will be all for the questions from the venue and we would like to take questions on Zoom. First of all, from media. We will be designating you and we will state your name as well as your affiliations. [Operator Instructions] First is Sato-san from the Nikkan Kogyo Shimbun newspaper.
Unidentified Analyst: Can you hear me?
Operator: Yes, we can hear you.
Unidentified Analyst: I have two questions. First, next fiscal year, the fiscal year '22 CapEx size and priority in the CapEx is what I would like to ask you. Also, the raw material price hike as well as shortage of semiconductor chips. How do you factored it into your CapEx plan? That's my first question.
Junichi Miyakawa: So I will go one by one. Yes, please. In terms of the CapEx plan, there would not be much difference between this fiscal year and next fiscal year. Of course, we will be officially determining that once we compile our budget for next fiscal year. And in terms of the constructions that we have begun, we have in mind the same level of CapEx as the previous fiscal year. So the number of base stations for 5G foundation, we have estimated that we need about 50,000 base stations. And currently, we have 23,000 base stations. And in several years from now, we would like to increase the coverage area through building of the base stations. And together with the increase of the traffic, we would like to increase the base stations in order to distribute the number of the traffic. As I have mentioned earlier, ARPU is gradually declining and to have the same CapEx plan in the same ARPU and with the -- that would make things imbalanced. So we have to be aware of the balance. So there may be a possibility that the investment towards 4G may have been bigger than that of the 5G investment. Another point that you have mentioned is the shortage of the semiconductor chips. There are some impacts on us. We are seeing difficulty in obtaining the hardware. And because of that, we had to make some changes in the construction plan. However, it is not putting significant break to what we are doing. So what we have been doing is making adjustments to order placements so that we would be able to make procurement of the hardware beforehand. We don't know how the situation will be for next fiscal year. And once we get the budget in place for the next fiscal year, we will try to secure the components that we would need for the hardware. So would that be okay with your questions.
Unidentified Analyst: So I would like to ask my second question related to the personal information management failure in LINE. And I would like to ask you your take of what the MIC has done. Last month, on the 14th, they have compiled a report and they have -- so they have mentioned on the disclosing of the countries where your data is stored and I was wondering how SoftBank has taken this news?
Junichi Miyakawa: So in terms of the handling of the personal information, so we have designated a person and a person to work on this and together with the people from the holdings, we are creating detailed rules. The government is working on the management of the personal information. And frankly speaking, we need to follow the government's guideline in order to stay in the game in this industry. So we agree to the directionality of the government. In terms of what we are going to do in the future. In terms of the domestic services, we will conduct it according to the rules and we will fulfill the requirements in which the government give us. And so at this point, we don't have any issues. So we will continue to work on the information management and we will enhance our information management capabilities. Did that answer your question?
Unidentified Analyst: Thank you very much. That's all from me.
Operator: Thank you. Next is Takano from Toyo Keizai. Please unmute. So Takano san from Toyo Keizai, can you hear me? Please unmute and ask the question. Mr. Takano, we are not able to hear you. Can you check to see if you're on mute or not? Then we apologize but we will skip. So Ishikawa from freelance journalist. Please unmute.
Unidentified Analyst: This is Ishikawa [ph], freelance journalist. I want to ask about your devices. Why are you handling BALMUDA Phone? So you have been selling smartphones for more than 10 years, even with your know-hows, why are you handling BALMUDA Phone exclusively? Why would you want to do that?
Junichi Miyakawa: I'm not sure if I'm understanding the intent of your question. So maybe if I'm answering this wrong, I apologize but BALMUDA Phone -- BALMUDA Phone, excuse me. I think BALMUDA is a very interesting home electronics manufacturers and we have looked at them with favorably. And with this new design they said that they want to compete in the world of smartphones devices. And this is -- they told us later on but we thought that this was quite interesting. And iPhone, we started off with exclusive sales and we have been able to develop SoftBank KK as we are today. So exclusivity, I hope will work out really well. And if you ask me why, well, this is a Japanese manufacturer and wants to challenge on in the world of the smartphones, we want to support that wherever we can. And I would say that's the reason. Ishikawa san, maybe the intent of your question is different but that's my answer.
Unidentified Analyst: Thank you. So to be honest, was it good that you handled it?
Junichi Miyakawa: Yes, I think so, it was good. I think I understand what you're trying to say but we have to start something like this, otherwise it won't lead to the next step. So let me say it was good.
Unidentified Analyst: Thank you.
Operator: Thank you very much. We would like to go to at Kyoto News, Nakajima san [ph], please unmute and pose your question.
Unidentified Analyst: This is Nakajima [ph], I'm from Kyoto News. Can you hear me?
Junichi Miyakawa: Yes, we can hear you.
Unidentified Analyst: The first question. You talked about the future of PayPay. You said that you will continue to invest in the acquisition cost and try to grow so from a layperson's view, it has gone to 45 million users and there are still the cash users. And I was wondering why you think that you would still be able to grow the number of the users. So could you talk about that?
Junichi Miyakawa: So to what extent we would be able to grow in terms of the number of users? Well, I am hopeful. So we are spending acquisition cost of the users. And we are looking at the effect before we decide on the campaign that we implement. So the measurement of the effect. How much each campaign has contributed to the net increase of the users, whether the campaign was worth doing. We make calculations each time before we deliberate on the next campaign. At this point, the acquisition initiatives that we have taken of getting up to 45 million users, we have been able to do that speedily. And also the GMV of those users are growing very handsomely. So we are satisfied with that. And we understand that there would be a limit to the growth. We don't know whether it would be 40 million users or 70 million users but there is a point where it would be inefficient to spend the acquisition cost as much as we are. So we'll have to -- we may have to change the strategy then. But at this point, we are satisfied with what we are doing and we have been doing it very efficiently. So we would like to go as far as we can. And you asked about there are cash-only users. It is true. I would never think that the number of cash users would be 0. If we look at the overseas market, we can tell that there is a balance between the QR code payment, the credit card payment as well as the credit card payment and they balance out each other. If we look at the total amount of the QR code payment in Japan, compared to other countries, the ratio is small and we believe that there is room for growth for QR code payment. We would like to closely monitor this situation in order to define our ultimate goal. Whether our goal is 60 million users, 70 million users, we don't know that yet. Within the Japanese market we would like to see how much more of QR code payment can be used and determine the goal for us in terms of the increase of the number of users.
Unidentified Analyst: Thank you for your response. My second question is related to the number of contracts for LINEMO. In the first quarter, you said that it's less than 500,000. And in the first half presentation, you talked about that with the combination of the LINE Mobile. And could you talk about it with LINE MOBILE and Y!mobile together. And I would like to know whether you would be able to disclose the stand-alone LINEMO basis. For LINEMO, is there any specific investment to -- for it to grow? -- or just receiving the users as they come.
Junichi Miyakawa: So in terms of LINEMO, there is no explosive growth. That's what I would like to say at this point. So at this point, it is not as big as we can brag. So in terms of the future of LINEMO, I think that it's a very good question. And the differentiation between LINEMO and LINE MOBILE, there is not much. And those who can access the Internet, so for LINE MOBILE and LINE MOBILE, there's not much difference in the way that they register. And going forward, we may consider the differentiation between LINE MOBILE and LINEMO. And when that time comes, we would like to disclose that to you. That's all for my answer.
Unidentified Analyst: Thank you very much for your response.
Operator: Thank you. Hyuga san from Bloomberg, please.
Unidentified Analyst: This is Hyuga [ph] from Bloomberg. Thank you very much for your explanation today. Some duplicate questions but the timing of breakeven for PayPay and that was a question yesterday but it's not very clear. So I understand you're taking on the expansionary track. Is this something you will continue for one or two years? When do you think it will breakeven? What's your blueprint on this? Along with that, what is the timing of making PayPay subsidiaries? I think you said after FY 2022. So when would this be in terms of preferred shares? And in terms of IPO, is this after breakeven? Or even in during your period in which years pursuing investment and expansion, you will go IPO public. So how are all of these elements be interrelated?
Junichi Miyakawa: Thank you very much for your question. So in terms of our target and timing of breakeven, like I said earlier where do we shrink our acquisition cost and achieve breakeven. So if you look at short-term answer, we want to invest a little bit more. We -- it has so much room for growth. Even if we have to keep the investment down for other things, we want to invest in something that's growing and that's something we really want to do. Now are we going to continue this one year, two year, three years? Well, this is business. So we have to go and recover that investment somewhere. And we have to really look at the number of users. And I want to really say overwhelmingly number of users dominant -- so it's now becoming an app that's being used by many, many users. So we want to grow furthermore. So that's first step we want to do. And once it becomes inefficient, we don't want to sacrifice efficiency of acquisition in order -- just sort of the sake of growing number of users. So maybe if it becomes inefficient, then maybe we will reduce acquisition costs and efforts and then we will see how much we can really become profitable. And then in terms of becoming a subsidiary, the timing and just image, I guess, I can give you a picture. But from FY 2022, we will now be able -- we have the right to convert our preferred shares. So if we convert it, it will become a subsidiary. But then when do we want to do it? What month? Will we really do it in FY '22 sometime during that year? Well, we don't know. We haven't really decided at this point in time. The timing in which we make that decision, maybe the timing to make the decision will come sometime next fiscal year, FY 2022. But we are now asking you to evaluate our assets with some aparts [ph]. And of course we want this to be a part of an option to evaluate PayPay and PayPay going public. So this is related to the timing of going public with PayPay. But I have -- answered 1, 2, three questions. So all of these will be considered in balance. And the last point, so would be breaking even after we go -- PayPay goes public, or is it before. Well, PayPay's IPO, to be honest, yes, we do want to go public but that's not our goal. So that's not the timing. I think after going public, the best way to grow, what would be the best way to grow? That's something we're discussing right now with all of the parties. And even if we -- PayPay goes public, we want the growth to accelerate. So that's what we want to pursue. So we will determine what is the most appropriate breakeven timing. So I hope that answers your first question.
Unidentified Analyst: Yes, thank you. The second question is with regards to the rent increase -- excuse me, wage increase, excuse me, pay increase. So this is for employee compensation. So you have new graduates and you have employees. Well how are you thinking in terms of wage increase because of this environment?
Junichi Miyakawa: Thank you. I mentioned about a decrease in profit in Consumer segment. So this is what we used to call the core business and this is becoming smaller and smaller and it's the other businesses that are growing and that's really supporting this segment. So that's the structure. Then the employees are working in this telecom business. And do we want to raise wages for this business segment that's not growing, that's actually declining. So we are launching many new businesses. So we are shifting the employees in this telecommunication business. And so we're not accelerating hiring externally but we are working on shifting and relocating employees. And that's actually functioning quite well. So for example, PayPay, it's the members of SBKK, that went to PayPay and launched a business. And we want to continue to launch businesses at this second, third, fourth type of PayPay business. So we have to think about incentives as well. I think incentive is a big motivation for -- or driver for growth. So we are actually looking at incentives in terms of employee compensation. Rather than to increase the wages by 2% all across the board, we want to rather compensate people who have contributed to a rapidly growing business. And we want to maybe build a performance-based payment system that maybe other public companies don't have. And the board members are currently receiving stocks as compensation. And so we are looking into looking at giving stocks -- allocating stocks to the employees at a certain level. And I'm not saying we're issuing new shares. It's just that we will buy shares from the market and we will distribute that, reallocate that to the employees of a certain level as a compensation is part of the salary. So we are proactive in terms of wage increase. So on an overall basis, it will be wage increase but the way we do it will be more creative so that the way we pay salaries will be something that we will continue to explore. That is all.
Unidentified Analyst: Thank you.
Operator: Due to the constraint in time, we will take one more question from the media on the Zoom from Toyo Keizai, Nakagawa san and please unmute and pose your question.
Unidentified Analyst: This is Nakagawa from Toyo Keizai [ph]. Can you hear me?
Junichi Miyakawa: Yes, we can hear you.
Unidentified Analyst: At the end of last year, SoftBank and Z Holdings had -- was reported to sell the T Point Card shares. And in the Yahoo! Services, it is argued that there would be a consolidation to PayPay points. So what is the current status? And how would you change your relationship with T-Point? Could you talk about that?
Junichi Miyakawa: In terms of the shares of the T Point Japan, at this point, there is nothing that we can disclose from our side. So I hope that you understand that I have to refrain from talking about that at this point.
Unidentified Analyst: Understood. Thank you.
Operator: Is that end of your question. Thank you very much. So I would like to move on to taking questions from the analysts as well as institutional investors. We will first take Mr. Ando's question from Daiwa Securities, please unmute.
Yoshio Ando: This is Ando. Can you hear me? Yes, we can hear you. My question, first of all, is regarding PayPay you're expecting that there are synergies that can be derived from PayPay's resources? And how would you be capitalizing on PayPay in the telecommunications business? You talked about there is a lower churn for the people who are using these other services within the group. So how would you be using the PayPay services to the enterprises? Do you have any ideas?
Junichi Miyakawa: In terms of the PayPay Payment, we are working together with SEVEN-ELEVEN. And within 7 app [ph] the payment is being done by PayPay. So we provide various types of payment services to various companies through for example, linking it with their points. For example, in LINE also it can become part of the system as a touch point with the users. PayPay and LINE could be used as those touch points. And we work together with the partners in building the system by using our resources. So in enterprise, I think that PayPay can become a strategic resource and they are paying a very important contributing role. I would like to move on to my second question. Since SoftBank's IPO, you have been talking about the expectation -- high expectation that you have for the enterprise. And I think that you are seeing fruitful results there. And the enhancement of the sales force in enterprises, how do you envision it? Could you talk about it I wanted to talk about this at the end of the fiscal year but I will talk about it now. The strength of SoftBank is the sales force. So we have consumer segment and enterprise segment. But going forward, we would like to expand further. The enterprise, it is handling large companies and middle-sized companies. And we would like to increase the number of the account sales and to conduct the SME market. And we would like to eye on the market which is smaller. For example, recruit Hikari Tsushin [ph] are working in this market and we would like to create a direct sales department to enter in this market. Another is enhancement of the global sales force. We are now making preparations for the expansion of the global sales force. We had ASKUL and PayPay and they are working in the SME market. And SoftBank KK would like to work together with them for the generation of group synergy for serving this market. Next year, I think that I would be able to comment more on details about this.
Yoshio Ando: Thank you very much.
Operator: So we will take one last question. So Mr. Masuno from Nomura Securities, please. Please unmute.
Daisaku Masuno: This is Masuno from Nomura Securities. I have two questions. First question is on Consumer segment. So you have prices, network and then you have the second brand, third brand and combining the prices. And you have different initiatives. And the profit for Consumer segment, when do you think it will stop declining? Or when would you think it'd be able to turn around with 5G? So this is a turnaround strategy for consumer segment, maybe on a more of a longer span. So that's my first question.
Junichi Miyakawa: So let me just give you how I see this. So next year, we want to be the bottom year. And the strategy has already been built. So this year, there's a decline. And next year, we will continue to see negative impact from the mobile service price reductions. But in light of that, we are determined to recover consumer segment on a stand-alone basis. So next year will be bottom and we will now hit the bottom and bottom out. So that's the plan.
Daisaku Masuno: Thank you. Then the second question is about group foundation. So you have the brands of Yahoo!, SoftBank, PayPay, there's not many others that have a lot of strong brands like this. And you're now -- you will be connecting with the same ID. And I think you would expect to monetize from that. So what is the overall speed on this? And with regards to PayPay, whether you become a shareholder, whether it's the breaking even or not, they will be considered as an independent company with the President and I think that's the same with what you did with Z Holdings. So how are you going to get involved in the management, even with the respect for its independence and they have their own management?
Junichi Miyakawa: Okay. So the integration of LINE and Yahoo!, I think it's already been about a year now. And with regards to ID linkage, this is something we should have done earlier. And that's an expectation we had and there were specific reasons why it was delayed and started off with the fact that the data center was in China and there were many restrictions. So we had to work through each of these issues. And we were finally now at the starting point where we can begin integration and LINE ID linkage. So I understand that they're trying to accelerate this process. So this is something we're very much looking forward to. And this is the time for Z Holdings to really achieve growth. And SoftBank, in light of the situation and our subsidiaries and we have a great number of subsidiaries. So we want to continue to link that and collaborate. So on a group basis, all the 330 companies, I don't know if we can all be connected with a single ID but we want to build a new business model utilizing these assets. And I think we have finally come to the timing we can really talk about it; so I'm very happy about that. And with regards to independence of PayPay, you're right. PayPay, we talk about PayPay going public. So from our point, the view, whether it's Z Holdings or PayPay, they are all public companies. So they will be treated independently. And with our appropriate governance, we will continue to collaborate that a group company. Now Z Holdings and SBKK -- so you had -- just in terms of how it flows. So a company called Yahoo! under SB Group. So Yahoo! was like a brother company from SBKK. And in those days, we were not able to do a very specific concrete collaboration like we do now. And now that there's a parent subsidiary relationship, we're able to do that. So PayPay in a similar way in this parent subsidiary relationship, we will be able to collaborate. So that's how we want to finish it off. But we started out this together and we are able to exchange a lot of detailed information with PayPay. So it's a strong relationship. So no matter who manages PayPay, we hope that we will able to continue this close relationship so that we can exercise group synergies. Masuno san, I hope this answers your question.
Daisaku Masuno: Yes, thank you.
Operator: Thank you very much. That concludes the Q&A session. With this, we would like to conclude the briefing on earnings results for the nine months ended December 31, 2021 of the SoftBank Corporation. We will be uploading the video of this briefing on our website on a later date. Thank you very much for coming to the SoftBank Corporation's briefing on earnings results for the nine months ended December 31, 2021.